Junghun Lee: [Call starts abruptly] Thank you, Kawai-san and good afternoon, everyone. Earlier today, NEXON posted a quarterly investor letter with details on our recent performance and outlook. Before taking your questions today, I would like to offer some context on how these results align with the midterm growth plan which was present at NEXON's Capital Market reporting in September. Q3 reinforced our confidence in NEXON's growth strategy for building on the success of proven franchises and adding to our portfolio of blockbuster franchises. These investments, including the ongoing content updates and service improvements provided by our live operations teams, are much more than simple purchase or short-term improvements to our performance [ph]. It is designed to extend the fun for players while improving revenue and profitability over long periods of time. The incremental progress is evident in our Q3 results, while our top line was slightly below the outlook due to negative impact from FX. NEXON delivered record-breaking quarterly revenue at ¥135.6 billion, up 13% year-over-year and record-breaking Q3 operating income at ¥51.5 billion, up 11% year-over-year. We delivered solid progress on our IP growth strategy, including 15% aggregate year-over-year vertical growth in 3 major franchises, plus horizontal growth from a new IP, The First Descendant. The Dungeon&Fighter franchise delivered 142% growth year-over-year due primarily to the launch of Dungeon&Fighter Mobile in China on May 21. The mobile development team is introducing multiple updates for Q4 as well as the New Year update scheduled for Q1 2025. We are managing the game with the belief that it can become a sustained contributor to the Dungeon&Fighter franchise. We are deeply committed to revitalizing growth in the PC version of Dungeon&Fighter. We are releasing new content in Q4 and preparing a large New Year update which includes the release of a brand-new area, a labor cap increase and an improved progression system. Establishing the next growth cycle begins with listening carefully to players and providing a series of updates that will generate sustained growth over a long period of time. It's a strategy that requires experience, innovations and patience. But our 2 decades of experience with this franchise give us a long view on revitalizing growth in this game. Beyond the updates to the existing games, our strategy for growing Dungeon&Fighter franchises includes all new experiences designed to extend the franchise on 2 new platforms and into new markets, The First Berserker: Khazan, Dungeon&Fighter: Arad and Project OVERKILL. Refreshing existing titles and launching all new experiences to grow the enormous fan base of Dungeon&Fighter is ambitious but Delivering these updates and new games gives us confidence in hitting our goal of yielding Dungeon&Fighter franchises revenue CAGR of 25% from 2023 to 2027. Today's report includes an update on PC MapleStory which notes that revenue from outside of the primary market in Korea has improved by 23% year-over-year, led by Japan, North America and Europe, as well as rest of world, with each delivering record-setting Q3 sales. This is a testament to NEXON's hyper localization strategy which adapts content and promotions to match the taste and preference of players in diverse markets around the world. Hyper localization is a NEXON initiative with enormous potential for driving growth in established franchises by adapting the experience for local audiences. Like Dungeon&Fighter, the MapleStory team is working on new experiences to extend the franchise. In October, we executed a soft launch of MapleStory Worlds in North and South America. And we are preparing our large-scale Q4 testing for MapleStory N, a new PC-based MMORPG in the MapleStory universe. Hyper localization, new experiences and franchise extensions are the keys to the MapleStory franchise hitting its target of a 14% revenue CAGR from 2023 to 2027. And finally, the FC franchise is delivering a solid contribution despite last year's high hurdle. We expect to finish the year with franchise full year revenue reaching close to 2023 level. In Q3, the launch of The First Descendant established meaningful progress on our horizontal growth initiative, our strategy for creating all new games that can grow to become consistent contributors to our business. We are particularly pleased to see that approximately 75% of the global revenue for The First Descendant came from Western markets. Looking ahead, we will continue to respond to player input and provide high-quality updates to sustain the success of this game. Our Stockholm-based Embark Studio is making steady progress in improving NEXON's profile in global markets. Following the launch of Season 4 in September, the finals [ph] showed a big improvement in player engagement. And ARC Raiders, a second game from Embark, completes our largest public testing in October designed to refine core areas of the game which saw a marked improvement in player sentiment compared to a test conducted in June. ARC Raiders is tracking to a later stage in 2025. Also in October, we announced the Kingdom of the Winds 2, a sequel to the world's longest-running graphic MMORPG, in development for PC and mobile. The sequel offers both nostalgia and a fresh experience designed to expand the Kingdom of the Winds player base. Our horizontal growth strategy which includes new games, new markets and platforms, aims to generate approximately ¥100 billion in additional revenue between 2023 and 2027. Before I turn the call over to Uemura-san, I want to make an important point about our long-term approach which connects to 2027 targets. Over the next few quarters, we plan to continue investing in our long-term vision in order to achieve step-changing growth in our revenue and operating income. This includes both making our existing franchises stronger and also investing in innovation and expanding our portfolio of franchises. This may have a temporary impact to the pace of our financial growth. But we know, from our 30 years of experience, that this is a necessary step to take us to the next level of performance and growth with enhanced experiences. For players and lasting value creation for shareholders, we are confident that these steps will keep us on the path toward our 2027 financial target, 50% revenue CAGR and a 70% operating income CAGR between 2023 and 2027 with annual revenue increasing to ¥750 billion and annual operating income increasing to ¥250 billion. These are auspicious goals but far from being intimidated, we have a growing confidence that we have the right leadership and strategy for achieving them. With this in mind, NEXON's Board of Directors has authorized the execution of a ¥20 billion share repurchase in the market to be initiated tomorrow. We hope that our investors recognize our experience, our long-term vision and confidence in creating another wave of dynamic growth. With that, I will turn the call over to Uemura-san.
Shiro Uemura: In Q3, we worked on both our vertical and horizontal IP growth initiatives. Our vertical growth was primarily driven by bringing our key IP, Dungeon&Fighter, to mobile platforms in China. Our horizontal growth was principally from our new IP, The First Descendant which had a great success in Western markets. As a result of this strategy, we marked record-breaking quarterly revenue at ¥135.6 billion, growing 13% year-over-year on an as-reported basis and 12% on a constant currency basis. While our top line performance was slightly below the outlook due to negative impact from FX, it was within the expected range based on the FX assumptions in our guidance. Dungeon&Fighter's franchise revenue grew 142% year-over-year, driven by the contribution from Dungeon&Fighter Mobile which launched in China during Q2. For the PC version in China, the end-game economy imbalance has been gradually improving. However, the gain fell short of our outlook as the national [ph] update did not resonate as well with players as we had expected. MapleStory franchise revenues decreased year-over-year due to a tough comparison with Q3 2023 when the franchise achieved record-breaking quarterly revenue driven by the transformational update of the PC version in Korea and the launch of the mobile version in China. In Korea, MapleStory's Q3 revenue was below our forecast. However, the game's Net Promoter Scores had improved by 19 points between January and September, reflecting our long-term approach to improving the player experience and satisfaction. MapleStory's revenue outside of Korea exceeded expectations and increased by 23% year-over-year, driven by our hyper localization strategy which adapts content and holds local events and promotions to match the specific taste of players in diverse markets. MapleStory in Japan, North America and Europe and the rest of world all achieved record-breaking Q3 revenue. FC Franchise revenues decreased year-over-year, as anticipated, due to a challenging comparison with Q3 2023 when the franchise achieved record-breaking Q3 revenues. As for the other key titles, The First Descendant which launched on July 2, resonated well with Western players and despite missing our expectations, made a significant contribution to Q3 revenue. Operating income was up 11% year-over-year at ¥51.5 billion and was within the range of our expectations as revenue difference was offset by lower-than-expected platform fees, HR costs and marketing expenses. Net income was below our outlook at ¥27 billion, down 23% year-over-year, principally due to an FX loss of ¥19.6 billion, primarily on cash deposits. Moving on to our fourth quarter outlook, we expect our Q4 group revenues to be in the range of ¥83.8 billion to ¥94.7 billion, representing a 1% decrease to 12% increase on an as-reported basis or flat to 12% increase on a constant currency basis year-over-year. We expect the combined revenues of our 3 biggest franchises to increase by 14% to 28% year-over-year. We expect Dungeon&Fighter franchise revenues to grow double-digit year-over-year. Dungeon&Fighter Mobile settled into an expected pattern in Q3 after an exclusive launch in May. We expect to see sequential revenue decline in Q4 in part due to the weak seasonality. There will be multiple updates during the rest of Q4, as well as the important New Year update scheduled for Q1 2025. We are focused on making this game a sustained contributor in the Dungeon&Fighter franchise over the long term. As for PC Dungeon&Fighter, we expect the revenue to decrease year-over-year again in Q4. We are releasing new content in Q4 and preparing a large New Year update which aims to deliver a better player experience to revitalize growth and profitability over the long term. We expect MapleStory franchise revenues to decrease year-over-year. We expect PC MapleStory revenues from Korea to decrease year-over-year. However, the winter update scheduled for release in December is expected to drive the revenue to increase sequentially despite the weak seasonality. Outside of Korea, that is China, Japan, North America and Europe and rest of the world, we expect PC MapleStory revenues to grow double-digit year-over-year, driven by the hyper-localization strategy. FC Franchise revenues are expected to grow by double digits year-over-year. As a result, we expect to finish the year with franchise full year revenue reaching close to the record high of 2023. Also, we expect a contribution from a new PC multiplayer online battle arena, SUPERVIVE which we will launch in Korea later this year. Looking at operating income, in Q4, we will incur a prepaid royalty impairment loss of ¥6.5 billion related to the termination of one of our publishing projects. Accordingly, we expect Q4 operating income to range from a loss of ¥1.3 billion to a profit of ¥7.2 billion. Q4 operating income, excluding the impairment loss, is expected to be in the range of ¥5.2 billion to ¥13.7 billion. On the cost side, we anticipate increased HR costs due to the performance-based bonuses and higher headcount. Also, we expect increased royalty costs due to the growth of FC Franchise revenue. On the other hand, we expect lower PG fees [ph] due to a decrease in mobile revenues, excluding Dungeon&Fighter Mobile in China which is a royalty business. We expect net income to be in the range of ¥0.5 billion to ¥6.1 billion. Finally, I'd like to provide an update on our shareholder return. We announced a new shareholder return policy at our capital markets briefing held in September. As a reflection of NEXON's capital efficiency, we set a minimum ROE target of 10% with the potential to grow as high as 15%. We also plan to return over 33% of annual operating income from the prior year, excluding one-off expenses, such as an impairment loss, to be deployed between dividends and share buybacks. As part of the shareholder -- new shareholder return policy, we have doubled the year-end dividend forecast from ¥7.5 per share to ¥15, representing a per-share dividend forecast of ¥22.5 annually in 2024. In addition, our Board of Directors authorized an execution of a ¥20 billion share repurchase in the market during the period of November 13, 2024 to January 31, 2025 under the 3-year, ¥100 billion share repurchase policy that we announced this February. We plan to complete the repurchase of the remaining ¥50 billion balance by February 2027 with the consideration of factors, including the investment opportunities, financial conditions and the market environment. I will now turn the call over to Junghun.
Junghun Lee: Thank you, Uemura-san. To summarize, NEXON is making measurable progress on our IP growth initiative. We are executing on generating body-car [ph] growth from our existing franchises with investment in our live service and all-new experiences. And progress on our horizontal growth stretch is reflected by the successful launch of The First Descendant this year and our promising pipeline of new games in development. Looking ahead, we are focused on making investments intended to deliver long-term improvements in revenue and operating income. We hope that investors recognize NEXON's new shareholder return policy and share repurchase and estimate as a reflection of the strong confidence we have in our midterm growth strategy. Operator, we are ready to take questions.
Takanori Kawai: Thank you. Next, we would like to open up the lines to live Q&A. The Q&A session will be conducted with Japanese-English or English-Japanese consecutive interpretation. Please be noted that interpretation will come between your questions and our answers. Please hold for interpretation before you hear our answers. All answers will also be followed by interpretation, so please hold until the interpretation finishes before moving on to the next question. For those of you who have more than 1 question, we will take your questions one by one. Now we'd be happy to take your questions.
Operator: [Operator Instructions] The first question is from Seyon Park-san from Morgan Stanley.
Seyon Park: I have 2 questions. First of all, I think the share price weakness recently likely reflects investors' concerns that Dungeon&Fighter Mobile in China has peaked and is starting to fade. I think, obviously, management and I think as well as Tencent, I believe, that this could be a much longer-term franchise. But when we kind of look at the fourth quarter guidance, it seems to indicate that revenues will fall meaningfully further also in the fourth quarter. So can you maybe provide a little bit of a longer-term kind of view as to how we should be interpreting this? I think you mentioned a big content update for the Lunar New Year. So can we maybe take it that, fourth quarter, it's more of a preparation stage for a bigger kind of monetization going into next year? That's kind of my first question.
Junghun Lee: Seyon, thank you very much for your question. I think I will be able to provide answer to this question. So I believe, first of all, your question was about asking the management's view regarding the decline in numbers regarding the Dungeon&Fighter mobile service in China and I'll be able to answer on that question in that regard. First, I think I will be able to clarify that it is never our view that we are seeing the Dungeon&Fighter Mobile China as declining structurally. So as a general nature of a mobile game, we initially expected that both sales and players will settle down over time. And as we have expected, in the third quarter, it basically settled into an expected pattern, delivering revenue which was within our guidance. I would also like to say that the current core indices of the Dungeon&Fighter Mobile in China stands very large and strong even today. Both the NEXON team and the Tencent team has been putting continued investments so that this Dungeon&Fighter franchise can grow into an evergreen franchise. So I would like to provide some rationale behind our thoughts. So for instance, if we think about the game genres in the Chinese market by the scale of each genre, then you'll be able to first think of the mobile genre or the multiplayer online battle arena genre, followed by maybe shooter and also ARPG. If you look at those genres, first of all, for the mobile genre, there are many games who are sharing the market share and same goes for the shooter genre. However, when it comes to the ARPG genre, Dungeon&Fighter is definitely the dominant title in this ARPG genre when it comes to the market share. The team holds this unwavering confidence that, with this dominant market presence within this genre, then this title has much potential to grow into an evergreen title. That is why both NEXON and Tencent is putting much investment as of today and also will do -- continue to do so in the future. So make no mistake, because we are still serving an enormously large base of players with our game. And also, I would like to take a note on the fact that [indiscernible] for games. So as you know, NEXON has a long history of accumulating expertise in offering live service. With this abundant experience of our company, we are now preparing ourselves for this fourth quarter as well as the first and second quarter of next year. By coming up with the optimal and the most well-fitting update cadence for this game, we will offer various updates for the fourth quarter and also we'll prepare for this major New Year update that is slated for the first quarter next year. So back in September, when we had the capital markets briefing, our investor briefing, in Tokyo, we -- where I highlighted the fact that NEXON, celebrating its 30th year anniversary, has a lot of games and an extensive portfolio with a more than 20-year history of live service. And we urged our investors to take a long-term view on our portfolio in that context as well. When it comes to Dungeon&Fighter Mobile, it is now 6 months in for its live service. And we would also appreciate it if you could also take a long-term perspective towards this game based on our abundant experience of live service expertise. That will be it for this question.
Seyon Park: Sorry. So for my second question, I know it's a little bit early but as we look forward to 2025 and as we also look back at 2024, some of the larger legacy franchises like MapleStory and Dungeon&Fighter online in China had some disruptions which, I think, prevented the company from maybe fully reaping the benefits this year. So as you kind of go into next year and I think there's been a lot of updating of the content and monetization schemes this year for these games, should we be expecting some normalization going into next year and maybe a little bit of how you're preparing to do so in terms of updates and any features? Some kind of, I guess, views on this would be much appreciated.
Junghun Lee: [Indiscernible] but as my understanding is that, say, on your question was specifically about the Dungeon&Fighter Mobile in China as well as Korea MapleStory PC and the FC Franchise, I might be able to frame my -- or focus on those 3 titles for my answer. For starter, I think I'll be able to first talk about the FC Franchise. In South Korea, already within the sports boundary, FC Franchise is maintaining an unparalleled and dominant presence and market share. As a result, I believe the only competitor of FC would be FC itself. So if you're interested in football or soccer, then you may be able to -- then you may be aware of this fact throughout various articles or some sorts. But recently, in South Korea, the FC team has invited all of the retired veteran soccer players to South Korea and we held this amazing event match. So as far as we understand, the match was biggest in the same sort among the event matches that was ever held throughout history. So one of the reasons that we are executing these kinds of marketing and promotion activities is to push up the entire scale or entire pie of the market of the sports genre itself. Based on this fact, going forward, we believe that the FC Franchise will be able to continue on with its stable growth going forward. On the other hand, this year, the Dungeon&Fighter PC in China and MapleStory in Korea struggled. In the past few earnings releases, we specifically mentioned about these 2 projects, addressing that we are taking this long-term approach to those projects so that they can be serviced for a long time. And that is why the team is putting its utmost effort in executing fundamental and structural changes to these titles. So first of all, for Dungeon&Fighter PC in China, as we have announced to our players recently, starting from the fourth of this year to the first quarter next year, we will be releasing some content -- major content updates, including the overhaul of progression system, level cap increase, as well as adding addition of new region. So the team has been preparing for this update and content for a very long time and we'll be able to introduce them for the next few quarters. And also, when it comes to MapleStory Korea, as you may be aware of, we have gone through some changes in our business model surrounding some changes of probability items within the game. The change has been made this year. And with that, the team has been long working on strengthening the very foundation of the title. And the team is now seeing that these kinds of efforts is now coming to fruition in the fourth quarter of this year. And that is why the team is preparing some major introductions -- major updates for next year. So regarding these 2 major projects and all the content updates that the teams have been preparing for a very long time, we believe that the chance of them being delayed would be very little. Also, we are steadily executing all the plans that we had so far, starting from the fourth quarter. That is why, in the future, we will be expecting some growth in both user sentiment as well as some substantial numbers. Lastly, when it comes to this entire MapleStory IP, I would like to take a note on the fact that the overseas MapleStory service is now recording this double-digit growth on-year. So course, when it comes to the revenue volume, the Korean MapleStory might be huge. However, if you think about the market size itself, it is -- the overseas market is undoubtedly much larger than the market in South Korea. Therefore, we are continuously making this effort in expanding this MapleStory IP with the long-term perspective making much investment as well as thorough management from the perspective of hyperlocalization. With that, I would also appreciate if you could also take those factors as a positive component when projecting our future for the 2025 or even 2027. Lastly, I would like to point out several indices and numbers surrounding this fact. So for the third quarter, our overseas MapleStory has recorded 23% year-over-year growth. And also, when it comes to Japan, North America and European region, MapleStory has recorded the highest third quarter revenue so far. At the same time, when it comes to the entire third -- Q3 revenue, the overseas service revenue has accounted for 40% of everything. With that, I would like to conclude my answer for this question.
Operator: And the next question comes from Yijia Zhai of UBS Securities.
Yijia Zhai: I have 3 questions. My first question, in the capital markets briefing, you mentioned that, by 2027, the 3-year Dungeon&Fighter growth will be a CAGR of 25%. However, given the current China Dungeon&Fighter Mobile deceleration, do you believe that that target is now difficult to achieve? And also, given the current deceleration speed, how does current status compare to your initial assumption? And do you have any updates or changes you would like to make to your comments made at the capital markets briefing?
Junghun Lee: This is Junghun Lee. I'll be able to answer this question. So first of all, there has been no change made to the 2027 targets that we announced at the CMB in September. So regarding the Dungeon&Fighter Mobile in China, even though I have given out some details or thoughts from Seyon's question earlier, I would like to reiterate that, after launch, the title is now in a stabilization period. And it has only been 6 months since the beginning of its live service. So the team is trying not to make any quick judgment regarding the performance of the title. But rather, when it comes to managing the project, we are really trying our best to make sure that the game remains as a long-standing live service title. Also, regarding the Dungeon&Fighter PC service in China, for this year, the team has been putting much time in preparing for those works for aims to achieve rebounds in the PC service. And those efforts will turn into tangible results and tangible outcomes -- sorry, tangible outcomes within the game starting from fourth quarter with our execution. So with that, I believe that the future projection is -- could be a little bit positive. And all in all, I believe, if you take the general perspective towards this IP franchise, those 2 titles will be able to remain as a constant contributor to the franchise's revenue.
Yijia Zhai: My second question is on The First Descendant. In the previous quarter, half of the sales were postponed. And on the other hand, when I look at the balance sheet, that amount in a year-on-year basis does not seem to be increasing. On the other hand, the sales in the Western countries in the fourth quarter has come down on a Q-on-Q basis. So is that due to the difference in the accounting treatment? Is it booked as the deferred revenue or not? And also, could you comment on the trend going forward on the performance of The First Descendant?
Shiro Uemura: With regards to the accounting treatment of The First Descendant, the method of treatment is same as what we have explained before. The amount to be deferred as the revenue booking is quite a large amount. And also, the incurred revenue in the third quarter will be booked as the deferred revenue in the fourth quarter. With regards to the trend of the game, at the time of the launch, the performance was extremely good. However, compared to our assumption, the decline of the traffic was faster. So as a result, we missed the forecast for the third quarter. The initial launch was extremely strong and that was higher, stronger than our expectation. Therefore, the measures that we have taken were slightly delayed. And so going forward, we will take measures. And for the next update, we -- through the next update, we intend to bring this back to the growth trajectory. As Junghun mentioned, it's still early since we launched this game and we believe that we can recover the trend.
Junghun Lee: Right. So I think I'll be able to add a little bit onto that briefly, to introduce them or share our thoughts on future plans of The First Descendant. So I would first like to acknowledge the fact that, when it comes to this shorter -- shooter genre where this First Descendant is included, what you would usually recognize as a user pattern is that, once the users consume or enjoy all the content in-game, they would leave the game just temporarily. But once a new content update is introduced in the game, then they would return to enjoy -- continue enjoying the game as they did. So this is also some common pattern that you would notice with [indiscernible].
Yijia Zhai: Third question is related to the labor cost. In the fourth quarter, the increase of the labor cost on a Y-o-Y basis compared to third quarter is lower. And is it because of the end of the performance-related -- performance-linked bonus for Dungeon&Fighters? And is that the reason for the Y-o-Y labor cost growth has come down? Can you also talk about that trend as well?
Shiro Uemura: With regards to the performance-linked bonus, incentive bonus, the factor is linked to the performance of the new titles. And in the fourth quarter, to a certain extent, there will be the human resources cost incurred to a certain extent. And with regards to the decline from third quarter to fourth quarter, this is related to the deceleration of The First Descendant.
Yijia Zhai: I have an additional question. Could you also comment about your hiring plan going forward and also the plan to raise the compensation or salary?
Junghun Lee: With regards to our human resources plan, as long as we can foresee the growth of the company in the future, we will be investing in people and we will be raising the salaries on a regular basis. And depending on the country, the cost of living differs, so we need to take that into consideration as well. It is very important to secure capable people in order to be able to recruit and secure capable people, or we will be making necessary investments. And that is an important factor to achieving the goals we have set for 2027.
Operator: [Operator Instructions] The next question is from Morita-san [ph] of Okasan Securities.
Unidentified Analyst: So I am Morita [ph] of Okasan Securities. I have 2 questions. The first question is related to The First Descendant -- The First Berserker: Khazan, excuse me. And in the beta test that was conducted in October, I understand that more than 70% of the participants were the players in the West. And I want to know what kind of potential you feel regarding The First Berserker: Khazan in China as well as Asia.
Junghun Lee: This is Junghun Lee. So regarding The First Berserker: Khazan, this is -- our strategic portfolio is an effort to expand our Dungeon&Fighter IP and its presence in North America and European region where the presence of this IP is relatively smaller than in other regions. So when it comes -- so throughout this year, the team has been focusing on promoting Khazan mostly in the Western region, including the North America and Europe. So in Asian region, we believe that the Dungeon&Fighter IP has some substantial presence already among its user base. So by the first half of next year, we will be focusing on the quality of the game as much as possible so that we can expand the presence throughout the entire globe of the IP as much as we can.
Unidentified Analyst: The second question is related to Dungeon&Fighter: Arad which you have announced in October. I understand that this is a cross-platform title. And I want to know, what is the intent/objective of making this title a cross-platform gain?
Junghun Lee: So when it comes NEXON's titles, we are trying to support multi-platform as much as we can and this will be our primary principle going forward. Since there is a significant difference when it comes the preferences and how users behave in different platforms and by platform, in order to satisfy those extensive users as much as we can, we believe that we are now living in an era where multi-platform platform support is a must. Therefore, we have set this as a general direction of the group and pursue this direction going forward. Sorry, that will be it for my answer. Thank you.
Operator: Our next question comes from Penn Bowers of Fidelity International.
Penn Bowers: Sorry, just a very quick 1 question. So the midterm plan, based off of this year, looks fairly aggressive in terms of the growth over the next 4 years. So you haven't really mapped it out in terms of year-by-year. But what are the key things that we could look for in terms of achievements into 2025 that would put you on that path?
Shiro Uemura: In September, we have announced our target numbers for 2027. And although those numbers are challenging numbers, those are the numbers that we need to achieve. As Junghun mentioned, right now, as of today, we have not made any changes to our targets. As we have explained in the capital markets briefing in September, both Junghun and the management team explained that our growth strategy is, on one hand, achieve solid growth on a horizontal basis and on top of that -- sorry, on a vertical basis. And on top of that, we will develop horizontal growth as well. In order to achieve these targets, we would need to make investments. Therefore, in order to achieve our medium- to long-term targets set for 3 years later, we must be making solid investments. And by making such investments, we will move towards achieving the targets that we announced in the capital markets briefing.
Penn Bowers: Yes, but nothing specific for next year that you really want to achieve to put you on that target level?
Junghun Lee: I think I'll be able to add a little bit on to that. So for 2025, maybe a couple of points that might be notable would be as follows: so first of all, whether our existing franchise and existing live services can maintain its successful performance in next year, that will be number one; and number two, regarding the titles that we launch this year, whether we will be able to achieve the rebound in those live services; and number 3, the plans, the new title development plans, that we announced at the CMB is now going on without any issue. So in that regard, it may be notable to see whether those new titles are performing well in 2025. So I would say that those 3 points will be the points that you would like to refer to.
Penn Bowers: Great. Yes, it would be very appreciated if you can continue to give us updates on that progress towards 2027.
Operator: [Operator Instructions] This concludes the question-and-answer session. Mr. Kawai, I'd like to hand over to you for any additional or closing remarks.
Takanori Kawai: Thank you. If there are no further questions, I would like to take this opportunity to thank you for your participation in this call. Please feel free to contact the NEXON Investor Relations at investors@nexon.co.jp should you have any further questions. We appreciate your interest in NEXON and look forward to meeting with you whether it is here in Tokyo or in your corner of the world.
Operator: That brings us to the end of the meeting. Thank you so much for your participation.